Operator: Hello, and welcome to the Heineken N.V. Half Year 2022 Results. My name is Harry, and I'll be coordinating your call today. [Operator Instructions]. It is now my pleasure to hand you over to the Heineken management team to begin. Please go ahead.
Federico Martinez: Good afternoon, everyone. Thank you for joining us for today's live webcast of our 2022 half year results. Your hosts will be Dolf van den Brink, our CEO; and Harold van den Broek, our CFO. Following the presentation, we will be happy to take your questions.  The presentation includes forward-looking statements and expectations based on management's current views and involve known and unknown risks and uncertainties, and it is possible that the actual results may differ materially. I will now turn the call over to Dolf.
Rudolf van den Brink: Okay. Thank you, Federico, and welcome, everyone. We are pleased to be here today to share our half year '22 update and give you some more color to the results you have seen early this morning. Overall, we are really encouraged by the results for the first half. We benefited from the recovery in APAC, the on-trade to Europe, as consumers return to the bars with demand resilience until now, despite mounting inflationary pressures on consumers' disposable income. We grew ahead of industry more than half of our markets, and the Heineken brand again showed strong momentum, boosted by stepped up brand support.  Our actions on pricing, revenue management and productivity offset significant inflationary pressures in our cost base. As a result, operating profit as well as almost every relevant metric is now firmly ahead of 2019.  We continue to face an uncertain outlook for consumers and businesses alike. Remaining vigilant, we are fully committed to drive our EverGreen transformation for sustained long-term value creation. Given the current economic reality, we reiterate our '22 goals, have updated our outlook for '23 and reconfirm our medium-term aspiration to deliver superior balance growth with operating leverage over time.  So let's see some highlights. Net revenue grew 24.3% organically versus last year and clearly half of 2019, benefiting from balanced volume and value growth. Revenue per hectoliter grew organically by 15.6% with pricing across all markets, offering input cost inflation on a euro-for-euro basis and a positive channel mix and premiumization. Beer volume improved 7.6% organically and ahead of 2019 by 4.2%. The Heineken brand grew 13.8%, with more than 50 markets growing double digits. Our operating profit grew 24.6% ahead of 2019 by 22%. And the margin was 16%, down 35 basis points versus last year, due to consolidation effects as excluding these, the margin would have been stable. Net profit and EPS grew even faster due to profit as well as lower interest and net financing expenses and the normalization of the effective tax rate.  In the next slide, I'd like to share some more color on our progress to deliver superior balanced top line growth across the five priorities of our growth strategy. At first, you are now somewhat familiar with these, 3 relate to the continuous renewal of our portfolio, 1 about shaping our route to consumer digitally and 1 about strengthening our footprint.  So starting with premiumization, a key driver of our superior growth. For now, I will focus on the wider portfolio, and I will return to the Heineken brand on the next slide. Premium beer is expected to grow 2x faster than overall beer and faster than total alcohol. More than 40% of our beer revenue is coming from premium, so we're best positioned to capture this opportunity.  We're seeing continued momentum in the success of our premium international brands, like Tiger Crystal, Amstel Ultra, and Birra Moretti. Amstel Ultra continued its expansion in the Americas to reach 12 markets. Birra Moretti grew volume in the mid-20s. And in the year of the Tiger in Asia, we're engaging the growth of our brands in Vietnam and beyond. Europe is focusing on accelerating premium through its so-called Y-accelerator brands, like Ichnusa and Águila, were doing extremely well.  Our low- and no-alcohol portfolio grew volume by low single digits with double-digit growth in more than 20 markets, partly offset by declines in Poland, Russia and Egypt. The nonalcoholic portfolio grew at high single digits led by Heineken 0.0. We continue to lead the development of this particular segment globally. In the Americas, Heineken 0.0 is now the #1 nonalcoholic beer in Brazil, Mexico and the U.S.  On our third priority, we see plenty of opportunities to expand our product portfolio in the beyond beer space. Overall, our portfolio of flavored alcoholic beverages, including ciders and hard seltzers grew volume by a high single digit and is ahead of 2019 in the low teens.  Cider was back to growth in the U.K. and Ireland and saw double-digit growth in South Africa, Vietnam, Spain and Portugal. For consumers who desire a more balanced lifestyle, we launched Strongbow Ultra Dark Fruit in the U.K., a low-calorie cider that does not compromise great taste. We are remain the global market leader in cider. And with the upcoming acquisition of Distell, we will further reinforce this position.  Desperados continued its momentum, particularly in its core European markets and more than doubling its volume in Nigeria. Consumers looking for alternative beer at a similar alcohol level, we launched Desperados alcoholic sparkling water with tequila in the Netherlands in May.  We are learning from our innovations across markets and continue to introduce new propositions. For example, we launched Dos Equis Classic Lime Margarita in the U.S. For consumers craving new flavors and experiences, we launched Sol Mangoyada, that's a word twister, a combination of Sol, mango and chamoy, further strengthening our leadership position in FABs in Mexico.  Moving on to our fourth priority. We continue to shape our route to consumer digitally. We're very happy with the accelerated expansion of both our eB2B and e direct-to-consumer platforms. We've captured €2.8 billion in digital sales value in the first half of this year, close to 3x the same period last year and to the entire value captured in the full year of 2021, with close to 430,000 active customers in fragmented, traditional channels.  The remarkable growth in digital sales volume is balanced across both our direct and indirect distribution markets, notably Mexico, Brazil and Europe, as well as Nigeria and Vietnam on the indirect side. Vietnam observed the fastest growth, with more than 6x last year, covering now close to 55% of the fragmented trade. In Mexico, our most advanced market, we've captured now close to 90% of the net revenue from fragmented, traditional channels digitally.  The net revenue of Beerwulf, our direct -- our digital direct-to-consumer platform in Europe, was more than 50% ahead of prepandemic levels despite the shift in consumption from in-home to the on-trade as it reopened. Our eD2C platform in Mexico GLUP is growing fast. The platform was launched in Monterrey last year, and we're expanding into large cities in the country.  And the last priority, our footprints. We are making good progress on completion of the transaction in South Africa in the second half of the year as well as working hard to reach an agreement on the transfer of ownership on our Russia business.  Now onto the remarkable and consistent high performance of the Heineken brand, up another 13.8% in the first half, leading our growth in premium. The momentum, again, was very broad-based with more than 50 markets in the double-digit growth. Heineken Silver is now present in 22 markets following an unprecedented launch in 18 European markets simultaneously. Volumes of Heineken Silver have nearly doubled, driven also by strong growth in Vietnam and China.  As the next step, we introduced Heineken Silver in Mexico this month, with the most ambitious launch planned for the market, the Mexican market to date. Our new campaigns are driving meaningful differentiation, tackling topics like responsible consumption, gender equality and work-life balance.  Heineken's creativity was recognized at this year's Cannes Lions Festival, being the most awarded alcohol brand with 21 Lions. And driven by strong growth momentum, innovation and creativity, the Kantar BrandZ 2022 global survey recognized Heineken as the fastest-growing in brand value amongst all top alcohol brands.  And on this topic, I will go shortly off-script, and I want to congratulate all of you who are dialing in from the U.K. with the epic win of the U.K. female football team last night. And yes, it's -- I think it's the first time ever that so many people globally tuned in towards an all-female final. And we were very proud to be one of the enabler as a proud sponsor of the Female Euro Cup.  As you may have noticed, about 1 year, 1.5 years ago, we made a deliberate choice to also start to sponsor all the female versions of all our major sponsorship platforms. So we're sponsoring the W Series of Formula 1, the female Formula 1, as well as the Female Champions League and as you have noticed last night in the last week, the Female Euro Cup. And we believe this all helps in making our brand as relevant as possible with all our consumers.  Now on to the performance of the regions and starting with the Africa, Middle East region. Net revenue grew organically by 24.4% and operating profit by over 44% with good cost discipline contributing to the operating leverage. Beer volumes grew 3.5% organically and are low single digits ahead of 2019. Price/mix was up 19.2% on a constant geographic basis, mainly driven by strong pricing in Nigeria, Ethiopia and the DRC. The premium portfolio grew a low single digit with a remarkable performance in South Africa and Nigeria.  In Nigeria, net revenue grew in the low 30s, driven by assertive pricing and the strong performance of our premium portfolio led by Heineken, Tiger and Desperados. Total volume declined by mid-single digit, driven mainly by capacity constraints, but remains well ahead of 2019. Additional capacity will come on stream in the third quarter of this year. In South Africa, net revenue also grew in the 30s, driven by the recovery in volume, cycling the COVID measures last year and assertive price increases ahead of the industry. Total volume is now ahead of 2019 by a high single digit despite supply chain challenges.  Moving on to the Americas. Net revenue grew organically by 15.8%, mainly driven by Mexico and Brazil. Organic beer volume grew by 6.2% and mid-single digits ahead of 2019. Price/mix on a constant geographic basis grew by 14.3%, driven mainly by pricing. Operating profit declined organically by 16.3% as the region was disproportionately impacted by higher input and logistic costs, particularly ocean freight into the U.S. where our competitor position does not allow offsetting all this fully in price.  In Mexico, net revenue increased organically in the mid-teens, driven by pricing ahead of the industry, a mid-single-digit volume growth. The premium portfolio grew volume in the mid-teens, led by the success of Bohemia Cristal and the continued momentum of Amstel Ultra. Our 6 stores continue to accelerate their growth, and we aim to close the year with more than 16,000 stores.  In Brazil, net revenue grew organically in the mid-30s, driven by pricing ahead of the industry, premiumization and volume growth. Beer volume outperformed the market, accelerating its growth in the second quarter to the low 20s and growing in the low teens for the first half. Our premium portfolio grew volume in the 30s. Heineken remains the #1 brand by value in the off-trade.  Heineken USA net revenue declined slightly on an organic basis as lower volume impacted by supply chain disruptions and the softer market were mostly offset by pricing. The disruptions have disproportionately affected Heineken and are expected to stabilize in the fourth quarter. Heineken 0.0 continue to grow and lead the nonalcoholic beer category. Dos Equis grew volume in the low teens, benefiting from the recovery of the on-trade and the performance of the Dos Equis Lime and Salt. Heineken USA launched its first ready-to-drink cocktail Dos Equis Classic Lime Margarita and Lagunitas introduced Disorderly Tea House.  In Asia Pacific, volume development is building momentum and benefiting from cycling significant prior year restrictions. Beer volume grew 17% organically, 9.6% ahead of 2019. The strong performance was driven by double-digit growth in most of our markets. Net revenue was up 23.4% with price/mix up 8.8% on a constant geographic basis driven largely by pricing with positive channel and premium mix. Operating profit increased 18.9% organically. Our growth momentum in Vietnam returned and was ahead of the market, driven by the strong volume recovery in the second quarter and pricing ahead of the industry, overall retaining our market leadership position. Bia Viet grew by over 50% to accelerate expansion outside our strongholds.  In India, volume recovered ahead of prepandemic levels despite supply chain restrictions during the peak season and pricing ahead of the industry. The premium portfolio outperformed, led by Kingfisher Ultra and Amstel. Integration of United Breweries Limited is progressing, including the rollout of Heineken's operating principles and best practices.  And in China, Heineken original and Heineken Silver continued their strong momentum, both grew in the 30s despite lockdowns impacting the Southwest region.  Moving to Europe. Net revenue grew by 30%, with price/mix up 17% on a constant geographic basis, driven by assertive pricing, positive mix effects from the reopening of the on-trade and premiumization. Operating profit grew organically by more than 60%. Beer volume increased organically by 7.9% versus last year and was ahead of 2019 by low single digit. Beer volume in the on-trade was up in the high 70s as the channel reopened across the region, but remains below 2019 by a high single digit.  Over the last quarter, we observed a steady 85% to 90% of the outlets reopened versus '19. Off-trade volume declined by a mid-single digit versus last year and remains ahead of 2019 by a high single digit. We gained our health share in over 2/3 of our markets, and the premium portfolio grew by high single digits, led by Birra Moretti and the launch of Heineken Silver.  We see an increasing risk of disruption to the supply of natural gas in Europe. In anticipation, we've anticipated our contingency plans, and Harold will speak more to this in a moment.  Let's move on to some highlights of our sustainability program. We are making steady progress against our Brew a Better World strategy, focusing on three areas: raising the bar on climate action, accelerating our social sustainability agenda and driving our brands to advance the moderate consumption of alcohol.  We are building momentum and are pleased with our progress, but we also recognize there's still a long way to go. We've all seen in the news the scores of wildfires, floods, droughts and heat waves, which have been intensified by climate change. We're determined to play our part in helping to keep temperature increase within the 1.5 degree limit and remain committed and clear in our ambitions to achieve our goals.  Along our journey to become net zero in our entire value chain by 2040, road maps have now been developed with all our largest operating companies, which account for 75% of our total emissions. We are proud of the steps taken so far. For example, in South Africa, we recently launched the largest solar plant in the African beer industry, reducing the breweries carbon impact by 30%. Regarding healthy watersheds, we're stepping up our water efficiency efforts, and 2 new wastewater treatment plants were installed at our breweries in Serbia and Haiti.  And with that, I would like to hand over to Harold to share with you a bit more color on our financials.
Harold van-den Broek: Thank you, Dolf, and good day to you all. I'll first take you through the main items of our financial results before closing with some reflections on our outlook statements.  Starting with our top line performance on Slide #11. We posted an organic growth of €2.4 billion or 24.3%, reaching €13.5 billion of net revenue beia. As a reference, you can see the comparable period in 2019 on the left hand of the slide. Total consolidated volume on an organic basis grew 7.7% for the half year. The growth was faster in the second quarter as total volume grew 9.3%, led by strong growth in the Americas, Asia Pacific and Europe, the latter regions boosted by post COVID recovery and on-trade reopenings.  Growth in the AMEE region was more modest, held back by some capacity and supply constraints as Dolf highlighted. Compared to 2019, our total consolidated volume is ahead by 0.8%, excluding consolidation changes. Net revenue per hectoliter was up 15.6%, and the underlying price/mix on a constant geographic basis was up 15.3%. This growth was driven by pricing across all markets, covering input and other cost inflation on a euro-for-euro basis, a positive channel mix and premiumization.  Overall, the price component was larger than the mix component in the Americas, AMEE and APAC regions. While in Europe, the positive channel mix effect was the main driver of price/mix. In aggregate, the pricing component of price/mix was 8.9%. Compared to 2019, net revenue beia is 14.4% ahead, excluding consolidation changes. It shows a solid post-COVID volume recovery, growth of our premium brands and the impact of inflation-led pricing.  The translation of foreign currencies had a positive effect of €638 million for the first 6 months, adding 6.4% to net revenue, mainly driven by the favorable developments versus the euro, from the Brazilian real and the Mexican peso. Using current spot rates applied to the result of last year, revenue would benefit positively in the full year of '22 by around €1.5 billion. The consolidation changes represent €454 million or 4.6% revenue contribution, mostly related to the integration of UBL in India.  Moving on to Slide 12. Operating profit in the first 6 months of 2022 came in just short of €2.2 billion. This is close to 21.6% more than prepandemic levels, excluding consolidation changes. But I'd like to start with the organic growth. The €2.4 billion of organic net revenue growth on the previous page translated to €400 million operating profit organic growth for the half year held back obviously, by a close to full reversal of the cost mitigating actions taken during COVID. The operating profit growth, therefore, was firstly driven by the volume recovery; secondly, by our pricing and revenue management actions that did deliver the euro-for-euro pricing of inflation on input and other costs as set out at the start of the year; and last, continued delivery of the gross savings from a productivity program helped and enabled a step-up in investments. The Europe region contributed the most to this profit growth, benefiting from the recovery of the on-trade, again, net of reversals of cost mitigations as higher input and logistics costs were largely offset, but not fully by pricing and strong delivery on cost savings from our productivity program. The Americas saw a decline in operating profit as the region was disproportionately impacted by higher input and logistics costs, particularly ocean freight of our imported Heineken product into Heineken USA, where our competitive position did not allow us to fully offset this in price. Furthermore, we stepped up the investments to support our growth in Brazil and Mexico. AMEE profit growth was driven by strong pricing and great cost discipline and premiumization of the portfolio. APAC profit expansion was predominantly driven by top line recovery.  Our operating profit margin for the first 6 months was below the comparative period last year, but it's mainly driven by consolidation changes. And organically, therefore, operating margins were stable.  Allow me to go into more detail on some of the cost drivers. Our input cost beia for the first half grew in the high teens on a per hectoliter basis, whereby our growth in the premium segment also has impact on the product mix, positive for revenue, but at higher input cost. The main factor of input cost increases was the significant inflation on the price of commodities, especially aluminum and barley, but also energy and logistics costs, particularly sea freight.  Transactional currency effects had a negligible effect. About 12% of the input cost inflation was mitigated by structural cost savings. Marketing and sales expenses, again, on a beia basis increased by 28.5% or €264 million organically. The investments represented 9.4% of revenue, benefiting from operating leverage and high inflationary prices, structural effectiveness improvements from our productivity program and relatively benign media inflation.  Consistent with what we said in the full year '21 results communication, consumer-facing expenses grew again faster than nonconsumer-facing expenses. In particular, point of sale in consumer promotion materials grew more than the 50% as we resumed activations in the on-trade as the channel reopened. Currency translation had a positive impact of €99 million, mainly from Vietnam, Mexico, Brazil. Consolidation changes had a positive impact of €28 million, mainly driven by UBL in India. I would now like to cover other key financial beia metrics on Slide 13. First, our share of profits from associates and joint ventures grew 26.3%. And the growth here was mainly led by the strong growth of CR Beer in China and UBL in India, partially offset by a decline in CCU in South America. Net interest expenses were 6% lower, reflecting a lower average net debt position as the average effective interest rates stayed at a similar level to last year. Other net financing income, again, beia, amounted to €24 million, driven by derivatives and a positive foreign exchange impact. Net profit beia grew by 40.2% versus last year, driven by the growth in operating profit, lower interest and net finance expenses and the normalization of the effective tax rate. As expected, the effective tax rate beia is reaching its normal level as our profits recovered. Last year, the tax rate was high due to losses, for which no deferred tax assets could be recognized and higher nondeductible interest.  All in all, this represented in 48% EPS growth to €2.30, ahead of 2019 by 25%. Finally, our net debt-to-EBITDA ratio improved to 2.4x, in line with the company's long-term target net debt EBITDA by a ratio of below 2.5x. Let us now turn to free operating cash flow on Slide 14. Cash flow for the first 6 months of the year was €1.1 billion, an improvement of close to €0.5 billion versus last year and versus prepandemic levels. Cash flow from operations before working capital changes improved by €571 million driven by the strong growth in operating profit and including a reduction in provisions of €100 million, mainly related to the utilization of restructuring provisions from our organizational redesign. The working capital movement was €96 million better than last year, with higher payables, partially offset by higher inventories and receivables were broadly stable.  Overall CapEx in the first 6 months was just slightly ahead of the €1 billion mark, about halfway towards the €2 billion for the full year, in line with our guidance despite challenges to execute some projects in the current economic context. The main investments this year were for capacity expansions in Brazil, Nigeria, Vietnam, Mexico, Italy, Malaysia and Rwanda. Cash for interest, dividends and tax increased in aggregate by €79 million mainly from higher income taxes paid in Mexico. Moving on to the next slide. We thought it beneficial to share some detail on the significant inflationary pressures we expect to continue in '22 and into '23. The chart on the left illustrate price levels indexed to January 2020 for some key materials just to give you some context. Whilst we observe some softening in some commodities from their recent peak heights, they still are very much above the average of the past year and the year before.  French barley, for example, is still more than 50% above the average of last year '21. Aluminum too, has come off its high point, yet remains much above prices seen in 2020. Now as we hedge 12 to 18 months in advance, we have more than half of our needs already locked in at these considerably high prices as we go into '23.  The impact is not limited to the commodities shown in this chart. For example, sea freight rates have increased significantly and today remain much above pre-COVID levels. Whereas in '22, we still had some offsetting effect from our early booking and tendering done in '21. For '23, we expect significant double-digit inflation in our transatlantic routes. Natural gas presents a double challenge. The big jumps in prices in recent months impact our direct use and that of our glass bottle suppliers. From industry experts, we have seen scenarios with a widespread of prices, particularly for European gas, which we take into consideration. In addition, there is an increasing risk of disruption to the supply of natural gas. In anticipation, we have activated contingency plans, which includes investments to alternative fuel capabilities in all of our breweries, and we're building contingency stocks of packaging materials. This year, we have largely offset the inflationary pressures in absolute terms via pricing actions and revenue management across all of our markets. We are committed to continue to do so. And in addition, our productivity program continues at pace, lifting the aggregate gross savings contribution to €1.7 billion by the end of '22 compared to the cost base in 2019. This will continue to offset cost pressures and enable increased investments in brand support, our digital transformation and sustainability initiatives. And therefore, finally, I would like to share a few thoughts on the outlook for the rest of the year and beyond. Our multiyear EverGreen strategy aims to deliver superior balanced growth for sustainable long-term value creation. We are encouraged by the speed and progress made so far on our key strategic programs and by the strong post-COVID recovery of our business. At the same time, we continue to observe a challenging global environment and an uncertain economic outlook. Whilst consumer demand in aggregate has been resilient in the first half, there is increasing risk that mounting pressure on consumer purchasing power will affect beer consumption. For '22, we keep our outlook unchanged and expect a stable to modest sequential improvement in operating profit margin beia versus last year.  We are changing our previous guidance for '23. We will move from an operating profit margin objective towards delivering operating profit organic growth on a beia basis. And for '23, we believe that the risk of mid- to high single digit growth is appropriate, subject to the current and expected economic context. Over the medium term, we reconfirm our aspiration to deliver superior balanced growth with operating leverage over time. And with that, I would like to hand over to Dolf for a closing comment before we take your questions. Thank you.
Rudolf van den Brink: Thank you, Harold. And thank you to you all for joining us this afternoon. Some final thoughts to the close the call. First of all, I'm incredibly proud and humbled by the agility as well as the unwavering commitment, dedication and talent displayed by our colleagues throughout the organization as we all once again navigate through unprecedented uncertainty together. I'm also confident that we're on track with EverGreen, and we're seeing some strong green shoots.  We have said that with EverGreen, we aspire to superior and balance growth. We're driving superior growth first and foremost by leveraging the resiliency and the potential of the beer category by leveraging the -- our footprints, which is biased for growth. Our unprecedented brand portfolio skewed to premium and led by the momentum of our #1 brand priority, Heineken, we're boosting consumer centricity and innovation in beer and beyond beer, reboosting the digitization of our business-to-business relationships. But apart from superior growth, it's really about balanced growth. A year, 2 years ago, we spoke about balancing volume and value. And I hope that by boosting our revenue management capabilities and the momentum that we're showing on pricing that we're making solid progress in this regard. We also promised to boost our cost-conscious mindset by announcing the €2 billion productivity program, and we're proud to announce that we will realize €1.7 billion out of the €2 billion already this year. And we're stepping up and boosting in the ESG space as well.  All in all, we still have a long way to go, but for now, we're encouraged and increasingly confident in our EverGreen strategy as we're navigating these continuously challenging circumstances while building a bright future for the Heineken family. On that note, I thank you, and we now open for Q&A.
Operator: [Operator Instructions]. Our first question is from the line of Simon Hales of Citi.
Simon Hales: My first question really is for you, Dolf. Obviously, you flagged both in the statement this morning and the presentation, the increasing risk of inflation pressures, namely squeezing consumer disposable income and that will affect sort of beer consumption. I want you to just touch on that a little bit more, are you already seeing some of those -- are you already seeing some changes in consumer behavior at this point? Or that perhaps you could just highlight where you do think those pressures might be become the most acute as we move through the next sort of few months of the year? And my follow-up question really, maybe, one for Harold. I mean Harold, very helpful comments around the input cost backdrop that you're seeing. You previously talked about high teens of even 20% input cost headwinds into 2023. Clearly, as you said in the presentation, spot commodities [indiscernible] high in some cases, but you have got higher gas prices in average, if they're all in the round. Is that guidance you've given previously in high teens still the right way to think about 2023?
Rudolf van den Brink: Thank you, Simon. So I will take that first part on the risk of inflation impacting beer consumption and whether we're seeing any impact for now. To be very clear, we are not seeing that impact up to this point as our results show beer volumes -- it's not just revenues, which are very healthy. Beer volumes are very healthy, up 7.6% across the board. Premium up over 10%. Brand Heineken almost 14%. And of course, some of that is driven by the cycle of last year. But if you compare to 2019, beer volume is now up low to mid- to high single digits in each of our four regions. Interesting to see the continued trends on premium beer, which is accelerating rather than slowing down also by deliberate strategy because that's where a lot of our investments are going. If you look quickly region by region, very strong results in the South America region. Our volumes in Brazil, now we had new capacity come on stream, really jumping ahead, particular in the second quarter. Very proud of the market share gains we're making there.  Similar situation across the AMEE region, in particular, in South Africa. APAC, very resilient, of course, partly cycling the late Q2 of last year, but across almost every market up in the double digits. And Europe, we always talk about Europe as relatively stagnant [indiscernible]. We are seeing very good growth momentum, up against 2019. We see the on-trade channel up 70%, 7-0. Some markets, and that is across the board, still a bit behind 2019, but we have several European markets now moving their on-trade business ahead of the 2019 levels. Off-trade taking a slight step back, but still above 90%. So yes, truth be told, across the board, we're seeing resiliency in the beer category at large. And we see fantastic momentum on our own portfolio, in particular with our premium brands. And of course, the Heineken brands being the most extreme example, up double digit in over 50 markets. So we don't see it yet. At the same time, we're not naive, and we are deliberately cautious and vigilant for the short and midterm. Again, we're in [indiscernible] nobody knows there's no models that can predict these kind of extreme data points. But for now, it seems that the consumer wants to get out and drink beer. We are here in the city center of Amsterdam. The city is buzzing with tourists. The [indiscernible], the terraces, the cafes are fully loaded with people. So short, short term, things look still bright, Simon.
Harold van-den Broek: And Simon, picking up on your second question about input costs and how we see this. It is indeed the case that we're currently in the process of basically hedging our 2023 exposure. And at this moment in time, we're 50% to 60% there. And our policy is that by the end of the year, we should have a pretty good read of what we can see in 2023.  So we have, in these turbulent markets, not really fundamentally adjusted our hedging because you might, in these markets, be as often right as you are wrong. So we're trying to be consistent here. And that also means that the levels of input cost that we are currently seeing are indeed continuing to be in the high teens as we flagged a few weeks ago simply because we already know.  And I think the charts are a little bit helpful that even when people are talking about some commodity softening like, for example, wheat or aluminum, I think we should realize that these levels are still considerably higher than levels what we've seen in the full year 2021 when we started to take out positions for 2022. So I do remain of the view that we should be a bit cautious here and not bank on suddenly imploding commodities, but actually navigate, and that's why we're continuing to believe that high teens is the likely number.  Now the [indiscernible] because it's been such a volatile time is the European gas situation because I just want to call out that the price levels that we are seeing today are 10x the historical average. And this is very different in other parts of the world like, for example, the U.S., which is still elevated, but much less so than what I'm calling out here. And this does not only impact our own brewery operations, it also impacts bottle blowing and can manufacturers in Europe, in particular. So that's why we just thought it might be wise to just call it out and be vigilant.
Operator: Our next question comes from the line of Edward Mundy of Jefferies.
Edward Mundy: So one question, one follow-up, perhaps. Your guidance of mid-single digit to high single digit for next year, you're providing a guide quite early on where we are in 2022. What are some of the things in your control that gives you confidence to deliver on this mid-single to high single-digit expectations for next year? And the second question is that operating profit in the first half is firmly ahead of 2019 as you showed in your charts. Appreciate you're not guiding for the second half. But based on what you're seeing so far, is it reasonable for H2 profits to also be firmly ahead?
Rudolf van den Brink: You want to take that?
Harold van-den Broek: Both? Or you want me to take the second one first?
Rudolf van den Brink: Yes. Okay. Now let me take the first one. So on the mid-single digit to high single digits, we felt it important -- I think it was not a big surprise to you all that we withdrew the operating margin guidance, but we did want to replace it with something to not create a vacuum there. And therefore, we have that relative broad range of mid-single digit to high single digit, and we'll provide an updated full year results we have -- when we have further clarified look on next year. What gives us confidence? Confidence is currently in the volume momentum that we're still having across various markets. The back half of this year, we are still cycling the April lockdowns. Early next year, we are still cycling the on-trade lockdowns in Europe of early '22. We believe in the momentum of brand Heineken and the premium segment as well as the new innovation. So we're not assuming indeed that the bottom would fall out of that. Indeed, we assume similar volume trend. Cost and the productivity program is absolutely crucial. As Harold has explained time and again, we are pricing euro-for-euro, but we're really supplementing that with the productivity program. Without the productivity program, the results would look very different. That is what we can control. Control the controllables, we can really control that. It's a very important and critical part of our EverGreen agenda to become more disciplined and cost conscious. And this program is, yes, giving us the means to do that.  So with what we know currently, we believe this is a realistic outlook for next year. But again, there is such volatility that we may need to update early next year. But let's see when we get to that point. Harold, for the second part?
Harold van-den Broek: Yes. Maybe just linking it to your first part as well, Ed. It's also important to realize that we're actually putting investments back into the business. We have increased our commercial investments by €264 million. And you see the ongoing investments behind brand Heineken really paying dividends with now 33% up versus 2019. And also, I think that in the communication to date, we've seen a lot of benefits coming from the digital route-to-market conversion, which is also giving us some good sign of what is possible. The 6 store expansion is another example of that.  So it's not only about how do we save our way to greatness. It's also about how we reconfigure the business, and that is very much in line with, of course, our EverGreen ambition, to drive superior balance growth, but with a fundamentally more agile and cost-conscious business. And maybe then bringing it to the half two. I think what is important to realize is that we already also last year were flagging quite early on, we saw commodity costs coming in into the second half and in that second half, we also took pricing. So what you were running up against in the second half comparative to prior year, is the fact that we already took pricing, and we'll have to do more in order to offset inflation.  Whereas, of course, because we are covering our input cost almost on a, let's call it, a much more gradual basis, the increases in commodity costs that we've seen over the past 6 to 12 months, are only now working its way into the second half variable cost or input cost per hectoliter. So this is basically some of the changes that you see. And last but not least, to close where I started, we will continue to step up the investments to drive the power of this business.
Operator: And our next question comes from the line of Trevor Stirling of Alliance Bernstein.
Trevor Stirling: Just two questions on my side, please. The first one, Dolf, just digging into the top line recovery versus 2019 and going into a regional level, it looks like the beer volume recovery has been strongest in Asia Pacific and America, and I guess Asia Pacific despite the restrictions in some countries. And -- but the price/mix has been strongest in the Americas and in AMEE. Is that the way you see it, too?
Rudolf van den Brink: Yes. But I think -- so there's a volume component and a price/mix component. So yes, indeed, volume across the APAC region, not just Vietnam, very strong recovery and bounce back, and actual growth versus '19, we think it's driven by footprint. We think it's driven by demographics. The strong growth that we're seeing in the Americas and to some extent, in the AMEE region is really driven by our premium strategy.  We have been speaking multiple times over the last year, 1.5 years, about the portfolio transformation in Brazil, but the similar portfolio transformation has happened in Nigeria, basically similar to the strategy we're having in South Africa, where our strategies are really premium led, which happens to be the segment that grows faster there. Globally, premium segment is growing at about double the rate of total beer. So indeed, we are seeing resilience there. But then again, even Europe for all its kind of challenges, up versus '19, which is proof of the resiliency of the beer category.  On the price/mix, it's slightly different. But for example, right now, inflation in Vietnam is relatively low, and we are in the kind of bizarre circumstance that in some emerging markets, inflation is lower than in Europe or North America. And I don't think in our lifetime, we have experienced that before. Americas, particularly Brazil and Mexico, of course, have had a lot of underlying inflation driven by depreciation in the currency. So I think that is what mostly explains the kind of differences in price/mix.  Also, historically, our APAC portfolio has been built from premium. And so for example, in the case of Vietnam, we're actually moving more intentionally into mainstream. So you have less mix effects. While in Africa and in South America, we're really taking a historical more mainstream business, making it more premium and therefore, generating more mix effect. So that may explain some of these differences.  From a pure pricing point of view, we really apply the euro-for-euro. So there's not an underlying difference in how we think in pricing in that regard.
Trevor Stirling: Very helpful, Dolf. And my follow-up question, probably one for Harold. Harold, I think the first half, the effective tax rate was actually 1 percentage point below 2019. Should we expect that to continue into the second half, so full year tax rate also being a little bit below 2019 levels?
Harold van-den Broek: Yes. If you look at your tax rate on a beia basis, you have these [indiscernible] about profit recovery coming in as well as the nondeductible interest charges. So I think our outlook statement was quite deliberate to saying, look, for the full year, we project around 29% -- 28%, 29%, and that is probably the rate that we should be penciling in going forward as well. So I would really not read too much into any profit shift or anything else going on, Trevor.
Operator: And our next question comes from the line of Tristan Van Strien of Redburn Partners.
Tristan Van Strien: Just had a question on CapEx because obviously, you called out some capacity constraints this year. And when I look at your current CapEx build about €2 billion, it just feels light, especially when I look forward to your growth rate. I mean you cut CapEx quite a bit the last 2 years, but the current number is the same as 2019. So was just wondering why you're not spending more considering your growth potential? And what exactly impairments -- or not the impairments, the constraints are in getting CapEx in place at the moment, which you called out, Harold? That's my first question, and then I'll follow up.
Harold van-den Broek: All right. So let me start with that first question then Tristan. Yes, what to say? This is actually quite an important conversation to have, Tristan. But let me also ground us a little bit in reality. Whilst our beer volumes are indeed up 4% compared to 2019, the total consolidated volume is actually up 0.8%. So we need to be careful that we're not investing too much ahead of the curve because volumes are still relatively flat if we look at it across the world. Secondly, I think you will have -- you will have picked up on previous conversations that more and more, we want to really make sure that our capital allocation is done with the right discipline. And in this sense, I give you two examples. But the fact that we were running under capacity constraint in Brazil has made a complete transformation of the portfolio happen that, at least in terms of premiumization, a shift in this portfolio from 70% economy and 30% premium now the complete reverse. And that is really setting us up much more for the future than what we had before.  Secondly, in the case of Nigeria, where we really are quite careful because the profit pool was relatively under pressure in the last couple of years, we've now fully recovered simply because that market has also operated on a capacity constraint for some time, which necessitated us to really trade up and drive the premium portfolio, as Dolf just mentioned.  So I think this discipline in capital allocation is actually a good thing, but we need to get the balance right. We definitely don't want to let go of good growth opportunities, which is why I'm very pleased to have called out Rwanda, now profitable; Brazil, seen the momentum of Heineken; Nigeria coming on stream in quarter 3. But at the same time, we also need to make sure that we don't invest too much ahead of the curve because it is a capital-intensive industry. If you don't get the volumes, you're really going to pay the price. So particularly in a more uncertain environment, we are really looking carefully about what is the right moment to invest. And then what did I mean? I mean it's like with the house builders at this moment in time. You have to get in your orders in time and you have to get the workforce really mobilized. Otherwise, we're going to run into delays. And that's what we're really carefully navigating by making sure that we reserve capacity and machinery so that we actually can continue to support the growth.
Tristan Van Strien: Okay, that's great. And I guess, perhaps related to that, I was particularly interested in your solar project in South Africa. So is that part of your own -- CapEx bill as well? Is that something you own and manage? Some more color on that would be great. And I guess the bigger question, is that a viable solution for the rest of Africa as well where we always have energy constraints of some sort?
Rudolf van den Brink: Thanks, Tristan. If I recall correctly, it's a purchase power agreement that we have in South Africa. So somebody else is putting in capital and we are providing a long-term commitment. That is the model that's happening in most of the cases. Could that apply in other places? Yes, but not necessarily everywhere. There's these ridiculous regulatory kind of constraints that are in some markets. So we're actually working with local governments to facilitate more investment in renewable capacity. And again, mostly, we will do that with a partner. And by the way, I just want to reinforce what Harold is saying, we are a capital-intensive business. One of the observations many of you had when this new leadership team started is that we could be more intentional about capital allocation. That's what we're really putting in place. Also, because of COVID, you had kind of a temporization in volume development and for which we were still spending €1.5 billion, €1.6 billion in 2021. So I would not say we have under invested, and we're now really picking it up back to 2019, if not higher levels, provided for some practical constraints due to the supply chain disruption. So we are really not worried about constraining our growth by lack of CapEx, the inverse, I would say. We're really trying to shift the culture in the company to become more choiceful and better prioritized in where and how we allocate capital.
Operator: And our next question comes from the line of Pinar Ergun of Morgan Stanley.
Pinar Ergun: The first question is on Brazil. The volume growth has accelerated significantly in Q2. Should we expect this rate of growth to be sustained for the next few quarters? And can you please share your thoughts on Latin America margin outlook given the cost pressures and the competitive landscape? My second question is a very quick follow-up. Harold, you've called out the potential impact of higher energy prices on European glass and can manufacturers. What are some of the actions you're taking? And is there a realistic scenario where Heineken may struggle to supply all of its packaging demand in Europe?
Rudolf van den Brink: Pinar, you spoke so quickly on that first phase. Can you please...
Harold van-den Broek: Volume growth, Brazil. Great in quarter two, up from quarter one. Will that continue?
Rudolf van den Brink: Very good. I missed that. Will that continue? Let's be cautious. There's absolutely no reason why we see a big slowdown at this moment in time. We know we have constrained our volume for a long time because of constraints on capacity and a deliberate choice to enable premium and mainstream, which we will continue to do so. Now the economy portion of the portfolio will face less capacity constraints than before, and it will be really up more to consumer demand to determine to what extent that will pick up again or not. So that is -- that remains to be seen.  We are also getting some further capacity coming on stream in the third quarter, beginning of the fourth quarter. So capacity constraints is really no longer an impediment. We are bringing the capacity in chunks. So it's not that we're creating artificial overcapacity. As we are saying, we're trying to be very deliberate in how we grow supply in relation to demand a step at a time. In terms of margin outlook in the second half, we will continue to step up our marketing and selling expenses. It will also depend a little bit on how the pricing is coming in. So for this moment in time, I prefer not to comment on margin on specific markets for the second half, Pinar. On that, over to Harold for that second question on glass.
Harold van-den Broek: Maybe just, again, just pointing out the obvious because we did put it out there in the announcement is that, of course, the margin impact on the Americas was also caused by these high transatlantic shipments because we're importing Heineken into Heineken USA. And of course, this had a very significant impact on the numbers. To your point on energy, I think there are two parts to this question. The first one is what are we going to do to offset these energy costs and what actions can we take? And the second one is how worried are we about gas availability in our supply chain?  So on the first one, I think we spoke extensively in this call and before on our growth savings program and the fact that we're really needing to step that up and continuing to focus on this. This is, by and large, still very much in motion. But I think what we're currently seeing in terms of energy cost makes it even more pronounced in Europe, and the European team is very aware of that. Now we can also do something very logical. And that is like every call to action to all the European nations at this moment in time. We really have to see whether we can do with lower levels of energy to drive that consumption. And we have got action plans in place. We are focusing resources now to also look at energy savings measures, converting and accelerating. We had Brew a Better World ambitions already if there something that we can do to accelerate and that is all part of the action teams that are going on.  In terms of availability, already for a couple of months, this has been featuring on our risk register, if you like. And therefore, teams have been looking at alternative source of energy and contingency plans for our breweries, including availability of materials, and therefore, barring any even further than beyond currently imaginable, we think we're good on our half 2 availability of supply.
Operator: And last question for today comes from Nik Oliver of UBS.
Nik Oliver: Just two from my side. Firstly, just thinking about the move away from the margin guidance next year. As we look forward, given the kind of volatility, sorry, and qualities, is it not really better to think about Heineken as a kind of euro profit growth driver as opposed to sort of thinking about margins and margin bps and progression? So that was the first question. And the second one, Harold, maybe just as a relatively new CFO, one of the areas where Heineken has screened less well in the past has been on working capital management. Is anything that you've observed in your time since you joined that could maybe improve cash conversion?
Rudolf van den Brink: Okay. Thanks, Nik. On your question, whether to see Heineken as a euro profit generation rather than margin. No, I don't think that, that's the signal that we want to send. The reason why we replaced margin by absolute OP expansion for next year is just because of the circumstances. It's a nominator, denominator challenge. Anything that's expressed as a ratio right now, at the minute you're incurring revenue per hectoliter in the double digit. All these ratios become under big pressure and may lead you to do things that are not in the interest of the company long term. We want to invest in digital, in ESG, in our brand portfolio, in innovation. And that's why we're ramping up marketing spend with €260 million just in the first 6 months of the year.  So we're moving -- relative short term, we are moving away from margin. As we said in our outlook, mid and long term, we remain the aspiration for superior balanced growth with overtime operating leverage. We know as a company prior to COVID, we had a period where we were not able to give -- to generate consistent operating leverage. We subscribed to the notion that your bottom line should outpace your top line. We're not precising by how much. We want to reserve the liberty to invest as much as we feel is needed to preserve the long-term sustainability of our results. So over time, we will come back to that notion of operating leverage.  Just short term, we feel it's not the most relevant metric. We want to be accountable to driving good solid operating profit, absolute expansion while we are investing for the future. That's what -- also as a family controlled company, we are often celebrated for having that long-term perspective. That's something that we are really aspiring to preserve and striking that right balance between the short term, midterm and long term. So hopefully, that gives a bit more context on our outlook statement. And on that note, Harold, over to you.
Harold van-den Broek: Yes. Nik, thank you for your question on capital and working capital management. Where to start? We've been seeing in the last couple of years, quite a number of priorities, right? We've had to deal with COVID. We unlocked a very significant cost program. We've built sustainability and responsibility ambitions now are navigating both supply chain disruptions as well as high inflation. So we are of the view that we need to make sure that we have a proper and balanced approach to what we want to optimize in terms of first, second and third priority. At this moment in time, we're focusing really on top line recovery, healthy balanced growth and operating profit delivery because this is what had to be recovered. And yes, over time, we will add capital discipline, including working capital discipline to that portfolio, and we do believe that there is some optimization possible. But at this moment in time, we are being very selective about where we put that to good use. More to follow, but not for now.
Nik Oliver: [Indiscernible].
Harold van-den Broek: Sorry, you're breaking up, Nik. Was there...
Nik Oliver: No. No, that's very clear.
Operator: And I'm afraid, we have no more time for questions today. So I can hand back to Dolf van den Brink for any closing remarks.
Rudolf van den Brink: No. We're already a bit overtime, so I will keep it very short. We're encouraged, we are happy with our results. At the same time, we will remain not naive about the challenges in the near term, but ultimately, confident in our EverGreen strategy and our ability to deliver superior and balanced growth over time.  On that note, thank you all for your time and attention and wishing you all a happy summer with hopefully some ice-cold beers and Heineken's on the beach or pool. Have a great summer. Bye-bye.
Harold van-den Broek: Thank you. Bye, bye.